Operator: Thank you for holding and welcome to the second quarter 2006 financial results conference call. At this time, all participant lines are in a listen-only mode. The presentation will be followed by a question-and-answer session and the instructions will be provided at that time. I would now like to turn the conference to your host, Ms. Jing Wu of China Finance Online. Thank you, Ms. Wu, and please go ahead.
Jing Wu: Thank you, Operator. Welcome everyone to China Finance Online’s second quarter 2006 financial results. Here with me in the conference are Mr. Zhiwei Zhao, our CEO, and Mr. Jun Wang, our newly appointed CFO. After market close today, the company issued a press release containing the financial results for the second quarter of 2006. The purpose of this conference is to provide an inventory with further detailed information regarding these financial results. Following our formal remarks, we will be happy to take any questions you might have. Before we begin, it is my duty to remind you that during today’s conference call, we might make some forward-looking statements. This announcement contains forward-looking statements. These statements are made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Statements that are not historical fact, including statements about our beliefs and expectations, are forward-looking statements. These statements are based on current plans, estimates and projections and therefore you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainty. We caution you that a number of important factors could cause actual results to differ materially from those contained in any forward-looking statements. Potential risks and uncertainties include, but are not limited to, China Finance Online’s historic and possible future losses, limited operating history, uncertain regulatory landscape in the People's Republic of China, fluctuations in quarterly operating results, failure to successfully compete against new and existing competitors, and the company’s reliance on China Finance Online’s relationships with the Chinese stock exchanges and raw data providers. Further information regarding these and other risks is included in China Finance Online's annual report on Form 20-F for the year ended December 31, 2005, and other filings with the Securities and Exchange Commission. China Finance Online does not undertake any obligation to update any forward-looking statements, except as required under applicable law. Now, I will pass this call to Mr. Zhao, our CEO.
Zhiwei Zhao : Good morning and good evening. Welcome to China Finance Online’s 2006 second quarter earnings conference call. This quarter, China Finance Online reported net revenues as $1.47 million, a decrease of 20% from $1.84 million year over year, and it was relatively flat from $1.41 million for the first quarter. Revenues from advertising related business for Q2 contributed $508,000, about 35% of the net revenues. Now, before stepping to the business part, I want to announce the appointment of Mr. Jun Wang -- Jeff -- our Financial VP as the new Chief Financial Officer for the company. His appointment takes effect immediately. Jeff joined us on May 24, 2006. In the past few months, his professional capabilities, integrity and dedication to the company have proven that he is the best candidate for this position. Again, on behalf of the board and the management team, I would like to welcome him on board. The company has made significant progress since the beginning of Q2 2006. During this short period of time, we announced two acquisitions and the release of two new product offerings. Together with these second quarter financial results, we announced that China Finance Online has signed a definitive agreement to acquire Stock Star. Stockstar.com was established in 1996, and it is one of the leading websites dedicated to providing the financial and securities related information products, and it used to be one of our major competitors in the securities sector. These two websites, jrj.com and stockstar.com, are similar to each other. We actually are complementary in various aspects, such as customer base, brand name awareness and service offerings. For example, Stock Star has an advantage in the financial wireless services, while most of our products are computer-based software. Through the acquisition of Stock Star, we will further solidify our leading position in the industry through economics of scale. In addition, we will rapidly expand our product line and also provide more opportunity for the distribution of our primary products. On July 3rd, we entered into an agreement to acquire Shenzhen Genius Information Technology Company Limited, a financial information database provider mainly serving domestic securities and investment firms. We and Shenzhen Genius are complementary to each other in many aspects, including technology capabilities and product mix. From [the above], I am convinced that these two transactions will create more growth opportunities for the company. Now, like most of our new offerings, the first is called a Level II quote. On June 15, 2006, we entered into an agreement with Shanghai Stock Exchange Information Network Company Limited, which is associated with the Shanghai Stock Exchange. According to the agreement, China Finance Online is authorized to received and use Level II quotes to enhance and upgrade features and functions of our existing sub packages and the new ones in development. The Level II quotes have been quite popular in the U.S. market. It is still new to the Chinese investors. Comparing to the current real-time quote, the Level II quotes significantly increase the data comprehensiveness and the speed of the trading data. China Finance Online activated the accounts for our first group of customers on July 18th. Our goal is to enrich customers user experiences by laying out the value of the Level II data in user translate interface, and also to develop valuable and analytical tools based on such Level II quotes. Another new offering called Value Engine, which is specially designed for investors primarily using fundamental analysis in selecting stocks or who use fundamental analysis to supplement technical analysis. This package aggregates research reports, live financial news, market commentaries, up-to-date Chinese listed companies’ financial information and database. Value Engine is currently in the stage of market testing and we will fine-tune either the project itself or the market strategy based on feedback received from the market. The formal launch of Value Engine is expected to be sometime in the next quarter. With that, I will pass the call to Jeff, our new CFO, to give more details on the finances.
Jun Wang: Thank you, Zhiwei, and good morning, everyone. First of all, I would like to say thank you to the Board of Directors and the management team for their support and for giving me this opportunity to take on the Chief Financial Officer role. I am very proud to be part of this fast-growing, energetic and [exustion]-driven organization and look forward to working with this great team to enhance shareholders’ value and take [common] to the next level. In addition to the highlights of our financial and operating results in today’s earnings release, I would like to discuss several points in detail. For this quarter, the company reported net revenue of $1.47 million, down 20% year over year but up 4% compared to $1.4 million from the previous quarter. The decrease year over year in revenue is mostly due to the decline of revenue generated from the subscription services. The Chinese Stock Market improved this quarter compared to the last quarter, and our subscription fees received on a cash basis increased correspondingly. However, our net revenue in Q2 did not fully reflect the stock market improvements because our subscription fees received are amortized over 12 months under U.S. GAAP. Our enterprise related revenue in the second quarter contributed $508,000, representing 35% of net revenue. Our Q2 advertising revenue increased by 52% year over year and decreased by 6% quarter on quarter. The slight decrease is mainly because we allocated more advertising spaces to introduce and promote our two new service packages, Level II quotes, and Value Engine, a high-end package designed to target investors who favor fundamental analysis. Our gross margin for the second quarter was 79% compared to 85% of the first quarter of 2006. The decrease is primarily due to the decrease of the percentage of advertising revenue among the total revenues. Advertising revenue actually had the higher gross margin than subscription-based software services. In this Q2, the company reported income from operations of $39,000 compared to $722,000 for the same period in 2005, and a loss from operations of $249,000 for this quarter. Excluding the stock-based compensation expenses of $225,000, which is due to the adoption of FAS-123R, income from operations for the second quarter would have been $264,000. Our total operating expenses for the current quarter were $1.12 million, up 11% from $1.01 million year on year, and a decrease of 22% from $1.44 million quarter on quarter. The increase in year over year is primarily due to the increase in product development expenses related to the development of Value Engine and Level II quote service packages. Operating expense recorded $201,000 in stock-based compensation this Q2, as a result of our adoption of the FAS-123R. The decrease quarter on quarter is mainly due to the decrease of sales and marketing expenses. In this quarter, sales and marketing expenses reported $371,000, representing a decrease of 24% from $487,000 year on year, and a decrease of 48% from $717,000 of last quarter. The decreases are actually largely due to the completion of our one-year online marketing campaign. Through this campaign, we established sponsorships and co-branding partnerships with many other popular Chinese portals. This project started from second quarter of last year. Mainly due to this marketing campaign, our daily user sessions to our website has increased by 67% during the one-year period. The number of new subscribers for the second quarter of 2006 was 1,877, representing a decrease of 27% from 2,567 for the same period in 2005, but an increase of 24% from 1,514 for the first quarter of 2006. Repeat subscribers for the second quarter of 2006 totaled 3,297, representing an increase of 31% from 2,515 for the same period in 2005 and largely flat from 3,283 for the last quarter. Average subscription fee per subscriber, or ASF, for new subscribers increased by 80% to $297 for the second quarter of 2006 from $165 for the same period in 2005 and increased by 61% from $185 for the previous quarter. ASF for repeat subscribers increased by 5% to $258 for the second quarter of 2006 from $246 for the same period in 2005 and increased by 39% from $186 for the first quarter. In general, the Chinese Stock Market was moving in an upward trend in the second quarter. From the increases in the number of ASF’s, both new and repeat subscribers, when you see individual investors help its recovery. Meanwhile, we also believe that 51% and 39% increases in ASF for new and repeat subscribers respectively on a quarter on quarter basis also benefited from test promotion of our newly developed package, Value Engine, which is a high-end product. Let’s move on to the balance sheet. Our cash and cash equivalents was $48.36 million by the end of June 30, 2006. It was slightly up compared to $46.17 million by the end of the year 2005. Now, we are ready to take any questions you may have.
Jing Wu: Operator, we are ready to take questions.
Operator: (Operator Instructions) The first question is Youssef Squali from Jefferies in the U.S. Please go ahead. Mr. Squali has withdrawn his question. (Operator Instructions) The next question is from Youssef Squali from the U.S. Please go ahead. Mr. Squali, you can ask your question now. Thank you.
Naved Khan - Jefferies & Co. : Can you hear me?
Operator: Yes, sir, you can go ahead now. Thank you.
Naved Khan - Jefferies & Co. : Sorry about that. This is [Naved Khan] for Youssef Squali of Jefferies. I have a couple of questions. My first question is on the average subscriber fee. It went up this quarter. How do you see this changing for the rest of the year? Do you see it going up further with the new product launches? Do you see it stabilizing at these levels? My other question is about the subscriber additions. Do you see these picking up in the second half or do you see these also remaining at these levels?
Jun Wang: Could you repeat your first question? Are you talking about ASF or something else? You said your average fee is increasing.
Naved Khan - Jefferies & Co. : Yes, the ASF went up this year, for this quarter. How do you see this trending for the remainder of the year for the second-half of 2006? Secondly, for the subscriber additions, how do you see these -- do you see these picking up in the second half or do you see it stabilizing at these levels?
Jun Wang: Actually, the number of subscribers add-on’s, that is for CSF, actually they are impacted by a number of factors. For example, one is the stock market trend, based on whether -- the stock market fluctuation does have increased impact on our subscriber base. Also, you have to have space under how the activity service strategies. On the other hand, this is what kind of service strategy we offer just to the customers. For example, if we offer more high-end products, actually now the ASF will improve, will increase. For example, in this quarter, part of the reason why ASF for new and repeat subscribers increased because as we released actually on a testing market basis, we introduced Value Engine, which is a high-end product. To summarize, actually for ASF, this indicator actually will be influenced by our product mix. For example, if our product mix is actually mostly composed of high-end products and ASF will increase. But if we introduce another product, for example, for level II that we have not decided the specifics product strategy yet, or so if our low-end product will actually increase the subscriber base on a great extent, but ASF actually may reduce.
Naved Khan - Jefferies & Co. : What impact do you see on the subscriber number, the subscriber growth? Do you see this increasing? Do you think that this is more determined from the stock market movements and not from the pricing?
Jun Wang: For the current quarter, they mostly rely on the stock market fluctuation, the trend. Also, depends on our promotion strategy, but as the mission, in the long-term, it will depend more on our corporate strategy and also our product strategy, especially for products in the mix.
Naved Khan - Jefferies & Co. : That is helpful. Another question I had was related to the Stock Star acquisition. Can you speak a little bit as to what kind of impact it will have in the second-half of this year on your top-line and bottom-line?
Jun Wang: You mean the second quarter, right?
Naved Khan - Jefferies & Co. : For the second half of this year.
Jun Wang: For the second half of this year. Actually, as we mentioned in our press release, the acquisition will be completed by the latter part of the third quarter, or actually in the fourth quarter. So in this sense, we do not believe actually the Stock Star will have a significant impact on our top-line or actually on our bottom-line, just because after integration, we do not -- Stock Star will not contribute greatly to our revenues or our bottom-line on the whole-year basis, or half-year basis.
Naved Khan - Jefferies & Co. : I understand, but since we also model for the outer years, which is the 2007, can you speak a little bit as to what kind of revenues Stock Star generated in ’05?
Jun Wang: We did our due diligence, and actually Stock Star reported approximately about $2 million in revenue in 2005, but actually that is a non-audited number as they are not under U.S. GAAP.
Naved Khan - Jefferies & Co. : I see. One more question on the sales and marketing spend. You said it declined because you discontinued the promotion that had been going on for the last year. Do you expect this to again ramp up because you are launching new products, or do you think it will stabilize at this level?
Jun Wang: The online marketing campaign last year, the primary reason is not to promote our product. The primary reason is actually to introduce our brand awareness, actually to improve our brand equity and also introduce more traffic to our website. After the one-year completion of the project, management believes that can be had to serve the purpose, and the company actually may evaluate the situation in the future. If we deem it necessary, we may launch another marketing campaign, but to promote our product or brand awareness.
Naved Khan - Jefferies & Co. : Thanks. Lastly, on the tax rate, I just wanted to ask you what kind of tax rate do we anticipate in the near-term, in the second half?
Jun Wang: On the tax rate?
Naved Khan - Jefferies & Co. : Yes.
Jun Wang: We have a [total] person tax rate, on income tax rate.
Naved Khan - Jefferies & Co. : Thank you.
Operator: (Operator Instructions) We have no more questions at this stage.
Jing Wu: Operator, let’s see if we have more questions. If we do not, we are going to conclude this conference.
Operator: (Operator Instructions) The next question is from Jeff Johns from U.S. Please go ahead.
Unknown Analyst: Time for me?
Jing Wu: Yes.
Unknown Analyst: Okay. I have a question about the Level II. I know the company [released it] and it is for free now and you are going to charge me later, but can you give us a sense of this number, of how many copies have been downloaded or something like that?
Jing Wu: Can you repeat the question, please?
Unknown Analyst: I am asking until now, how many copies have been downloaded for testing from your website?
Jun Wang: Do you mean Value Engine or Level II quotes? Which product?
Unknown Analyst: Level II quotes, the new product that you just released. I think you released in the beginning of August or something, right? For the past two weeks, do you have any statistics for…
Jun Wang: Actually, the downloads are close to around 10,000 copies.
Unknown Analyst: You mean 10,000 copies?
Jun Wang: 10,000.
Unknown Analyst: Okay. Another question is right now, it is just a Level II quote. Do you have any plan to integrate this product with trading software and that you do some [transaction] between the brokers and that you let the users trade in this software in the future?
Jing Wu: Let me translate. Just hold on a second.
Zhiwei Zhao: We do not have plans in the short-term to provide such online trading services to our customers. Our product stage, marketing stage for Level II is to provide such a quote together with the securities company or brokerages who could provide this online trading software. Also, we are not essentially provide such a Level II real quote data. We are dedicating into develop more valuable and analytical analysis, like the tools that they sell in Level II quotes. Therefore, what we provide to our customers is kind of valuated services. Thank you.
Operator: (Operator Instructions) The next question is from [Yujan Dan] from Forum Technology in China. Please go ahead.
Yujan Dan - Forum Technology: Good morning. I have several questions. One question is would you please add some color to your relation of the acquisition -- how do you like the acquisition, by [period issue] or the [acquisition of PS]?
Jun Wang: Acquisitions actually are valued based on fundamentals and it is also based on your comparison to the current values of the common listed, including actually our sales. We do not -- we also know the value of this based on [inaudible] during these negotiations.
Yujan Dan - Forum Technology: Okay. The second question is could you give us some details as to the business opportunities Star Stock and the Shenzhen Genius Information as to their revenue run-rates?
Jun Wang: I am sorry. I did not catch your latter part of your question.
Yujan Dan - Forum Technology:
Jun Wang: I am sorry, you said revenue…?
Yujan Dan - Forum Technology: Run-rates.
Jun Wang: Roughly, right?
Yujan Dan - Forum Technology: Run-rates. Revenue run-rates.
Jing Wu: You mean kind of…
Jun Wang: You mean roughly? Hello?
Yujan Dan - Forum Technology: Maybe I can speak in Chinese. (No Translation)
Jun Wang: Okay, you mean revenues. I am sorry. I have to speak English because we have other participants and audience. Yes, your question is about whether we can give some color on the current revenues size or mix of the Stock Star and also Shenzhen Genius. Actually, in the first discussion we answered to Youssef of Jefferies for Stock Star, for the un-audited revenue reported by the company for 2005, it is around $2 million. For Shenzhen Genius, it is also an un-audited number provided by the company, and it is under adjusted GAAP, it is around $350,000.
Yujan Dan - Forum Technology: Are those companies profitable?
Jun Wang: Are those companies profitable?
Yujan Dan - Forum Technology: Yes.
Jun Wang: For Shenzhen Genius, it is close to break-even, maybe a slight loss. For Stock Star, it is slightly profitable.
Yujan Dan - Forum Technology: Thank you.
Operator: (Operator Instructions) The next question is from Dick Wei with JP Morgan Hong Kong. Please go ahead.
Himanshu Patel - JP Morgan: Hi, this is Himanshu calling in for Dick Wei. Actually, just a couple of questions. The first question relates to the average subscription fee again. I know you mentioned that because of Value Engine, that was part of the reason for the steep increase in the ASF for new subscribers, but I was just curious -- can you talk about excluding Value Engine for your other products, how was the ASF this quarter? Meaning did the product mix kind of veer towards higher-end products or were they increased mainly just because of Value Engine? I will have a follow-up later. Thank you.
Jun Wang: Himanshu, actually we did not provide breakdown for the ASF that includes Value Engine or else other products, so we do not have that.
Himanshu Patel - JP Morgan: That is fine then. My follow-up is again on Stock Star. Could you just talk a little bit about the size of the customer base of Stock Star and whether it is primarily subscription, subscribers or is it kind of registered users paying some kind of user fees?
Jun Wang: For Stock Star, they have a similar business model as us. Their means of revenue is also comes from subscription based service. They have two major types of subscription services. One is for the web, one is for wireless financial services. Another is for software services, which is also on a subscription base. For Stock Star, their subscription base of revenue mainly comes from wireless services, which is different from us.
Himanshu Patel - JP Morgan: Right, and how many customers do they have, approximately? Paying subscribers?
Jun Wang: The number of subscribers, right?
Himanshu Patel - JP Morgan: Yes.
Jun Wang: For active subscribers for wireless services is around 200,000 people. For software, it is around 10,000 to 20,000.
Himanshu Patel - JP Morgan: This is a full-year number, Jeff, or is this the current customer size?
Jun Wang: Yes, that is the current customer size reported by the company.
Himanshu Patel - JP Morgan: Okay. Just one other follow-up on your Level II core service packages. Can you just talk about how many customer accounts have been activated so far, and what is your expectation for year-end? How many registered users might adopt this?
Jun Wang: For Level II, we have for free downloads, there are around 10,000 right now. We have stocks, up to the end of July 31st, we have over 100. We are still in the testing stage. The Shanghai Stock Exchange, they will formally launch Level II on September 1st. Prior to that, the entire Level II service is on the testing stage.
Himanshu Patel - JP Morgan: Just one last question on the advertising revenue. You mentioned that because promotions of the new products that we saw a sequential decline in that, so going forward for the second-half of the year, should we expect this kind of allocation to be done for internal products, or do you think your advertising revenue will pick up in the second half of the year?
Jun Wang: First, the company does not draw any forecast for future financials, but…
Himanshu Patel - JP Morgan: That is correct, but just in qualitative terms, do you think it will stabilize at these levels or…?
Jun Wang: Himanshu, because the company is in the process of releasing two major product packages, we are delegating more advertising spaces to promote our new product, [so the company is] actually now on our website.
Himanshu Patel - JP Morgan: Okay, that is helpful. Thanks a lot, guys.
Operator: (Operator Instructions) The next question is from Hanzhong Li from the U.S. Please go ahead.
Hanzhong Li - SunTrust Robinson Humphrey: Can you hear me?
Operator: Yes, sir. Please go ahead.
Hanzhong Li - SunTrust Robinson Humphrey: If you remember the conference call dated back to last two or three quarters, you attributed the revenue decrease to the whole stock market performance of China, except not good. Now, as you can see, the stock market, China’s stock market has increased almost a 50% but your revenue still keeps performing flat, or even decrease. Can you give me an explanation for that?
Jun Wang: Sure. As we mentioned, our revenue is reported on U.S. GAAP, and is amortized over a 12-month basis. In reality, as I mentioned during the speech in detail, subscription fees received by the company on a cash basis has been increasing correspondingly with the movement of the stock market. Just for information, we have recorded in July the highest cash-based revenue over the trailing 12-month period. This kind of increase will not be reflected in our net revenues in one quarter, just because under the amortization basis, for a particular month, the revenue, 1/12 of the revenue will be allocated to the quarter, in which that month is the first quarter of the month.
Hanzhong Li - SunTrust Robinson Humphrey: I remember that last quarter, the company provided a free download service for the customers coming from Bank of China. Is that right?
Jun Wang: For Bank of China?
Hanzhong Li - SunTrust Robinson Humphrey: Yes, for free service. That is true, right?
Jun Wang: Yes, we offered that product for Tao of Wealth, our personal finance product.
Hanzhong Li - SunTrust Robinson Humphrey: Do you have any number from those customers that will be the paid customers? How many customers did you draw from these customers to a paid customer? Do you have the numbers?
Jing Wu: Hold on a second. Let me just translate.
Zhiwei Zhao: The software which we promote together with the Bank of China is actually a free software. Among other credit card users of the Bank of China, especially with the customers based in Beijing, still a lot of customers continue using this Tao of Wealth.
Hanzhong Li - SunTrust Robinson Humphrey: Okay. I understand that. My next question is, I heard through the conference calls -- I do not know, the subscribers increases this quarter compared to the last quarter, right? With subscription fees increased, do you expect in the next quarter we will get even more revenue from this…?
Jun Wang: You mean from subscription services?
Hanzhong Li - SunTrust Robinson Humphrey: Yes.
Jun Wang: Are you talking about the ASF -- average subscription fee, right?
Hanzhong Li - SunTrust Robinson Humphrey: The average subscription fee, subscribing fee increase and the number of customers, subscribers also increased. Do you expect any revenue increase in the next quarter?
Jun Wang: First, as I mentioned, the company does not provide forecast for future financials, including revenues. As I mentioned, for the number of subscribers and also for ASF, they are actually highly influenced by our product mix. Of course, the other factor also is factors such as now our promotion and also for the stock market change.
Operator: (Operator Instructions) We have no further questions at this stage.
Jing Wu: All right. That is all for today’s conference. If you still have any further questions, our IR staff, including myself, can be reached at 8610-5832-5288, and our e-mail address is ir@jrj.com. Ladies and gentlemen, thank you again for joining us today. Bye-bye.
Operator: Thank you for your participation in today’s conference. This concludes our meeting. You may now disconnect your lines.